Preben Ørbeck: Good morning, and welcome to Aker Solutions presentation of our second quarter and half year results. My name is Preben Orbeck, and I'm the Head of Investor Relations. Joining me today is our CEO, Kjetel Digre; and our CFO, Idar Eikrem. They will take you through the main developments of the quarter and the first half of 2025. After the presentation, we have time for questions. Those of you who are following the webcast can submit your questions via the online platform. And with that, I leave the floor to Kjetelel Digre.
Kjetel Rokseth Digre: Thank you, Preben, and welcome to everyone in -- as always, let me start the presentation with the main messages for today. First and foremost, I'm pleased to see that we continue to deliver solid financial results. The second quarter revenue was NOK 15.2 billion, which is a growth of about 20% compared with the same period last year. And the EBITDA margin for the quarter was 8.3%. and I'm especially impressed by our life cycle segment, delivering 30% growth with improved margins. This is a result, not only driven by strong execution, but also continuous focus on improvements. In the Renewables and Field Development segment, the legacy lump-sum projects continue to be a drag on margins. The projects are scheduled for sailaway in the second half of 2025 and commercial discussions with clients and subcontractors are ongoing. During the quarter, we continued to have high activity across our locations and markets. The Aker BP portfolio is progressing as planned with several important milestones met in the quarter. I would also like to highlight our achievements in the CCS market where we celebrated the official opening and the first successful capture of CO2 at Heidelberg cement plant in Brevik this quarter. Lastly, we continue to have high activity within tendering and early phase studies, where we are maturing projects within oil and gas, decarbonization and renewables markets. It is also inspiring to see how we are applying new technologies to solve energy challenges for instance during our operations with autonomous drones for inspection on Aker BP's Edvard Grieg platform. This is a clear testament to the innovation culture of our people and organization. And speaking of people, I would like to take the opportunity to thank all our 12,000 employees for their continued dedication and hard work that has led to some great achievements in the period. Next, let me go deeper into some of the operational highlights of the quarter. I'd like to start with the Aker BP portfolio, which consists of 4 new platforms with combined weight of more than 90,000 tons as well as several projects within actions and manufacturing of subsea equipment. A lot of the high activity that we are currently seeing at our locations comes from these projects. and I'm glad to report that we met all key milestones in the period. All of these milestones happened at our yard in [indiscernible] where the large substructure for the Valla platform was completed in June and later installed in the field. This is another great achievement by Wada, delivering complex steel structures safely and efficiently. I also want to highlight the work done at our site in Sandnessjoen, which recently celebrated its 50 years anniversary. In June, the 110-meter long Hugen A flare was successfully lifted and moved out of the fabrication hall. And finally, at Stord, both the Hugin and Walla topsides are taking shape with the lifting and installation of several preassembled units completed as planned. And to safeguard the delivery of these projects, Aker Solutions has invested in new technologies and digital solutions. These are not ends in themselves, but rather means of improving efficiency and safety in execution. By using Cognite Data Fusion as the main hub for our data ecosystem, we have been able to implement new ways of working, improving the project's ability to accelerate deliverables and mitigate risk. Across the Aker BP portfolio, the Aker Digital Alliance has delivered on its ambitions to realize the target savings of about NOK 1 billion. This is quite an achievement. Going forward, the focus is shifting from the EPC phase to operations. Here, we see great opportunities to improve efficiency and reduce costs by using the common data platform and innovative industrial software applications. All in all, I'm very happy to see that Aker Solutions and our partners are making solid progress on the Aker BP portfolio. The achievements of the alliance are a clear testament to the value of working closely together with aligned incentives, delivering quality projects with faster time to first oil. So let's move over to carbon capture and storage. A market where Aker Solutions has been present since early 1990s. Norway is one of the frontrunners in this market, supporting the development of a complete value chain through the Longship project. In Aker Solutions, we are proud to play a key role in designing and building all the critical infrastructure for this important development. As mentioned, we recently celebrated the official opening and first capture of CO2 at Heidelberg Cement plant in Brevik. This is now the first cement plant in the world with full-scale carbon capture capability. We have also started the work for the carbon capture and storage facilities at Celsio waste-to-energy plant in Oslo. Both the Heidelberg and Celsio projects are executed in collaboration with our strategic partners, SLB Capture. On the storage side, Aker Solutions is currently engaged in the Northern Lights Phase 2 project where the target is to increase storage capacity from 1 million to a minimum of 5 million tons per year. OneSubsea, where Aker Solutions owns 20% is also engaged in this development, delivering the subsea CO2 injection systems for the project. Going forward, we see interesting opportunities within the CCS market where we can leverage our long-term experience and strong partnerships. According to the International Energy Agency, global capture of CO2 and the capacity of that is expected to increase almost tenfold over the next 5 years. However, this depends on the entire industry working together to reduce cost across the value chain. And this is exactly what we are working on at Aker Solutions. For example, we recently launched an R&D initiative to improve cost efficiency through standardization, which is being implemented in live projects such as at Celsio plant in Norway. And while we are on the topic of cost, another way to reduce cost is to apply new technologies. Aker Solutions recently reached an important milestone in the utilization of remotely controlled drones for offshore operations. And we have some footage we can show you. The drone operation took place on Aker BP's Edward Green platform, while the drone operator controlled the mission from Aker Solutions onshore control center in Stavanger. The resident drone system is located on the offshore platform and has autonomous navigation capabilities and advanced sensors and cameras, collecting high-resolution data during inspection rounds. This achievement sets a new standard for the use of robotics, artificial intelligence and digital technologies in offshore inspection and maintenance. Going forward, we see great opportunities to develop and scale this offering, enabling sizable cost savings for our customers. I think this is a good example of how Aker Solutions has always been a frontrunner when it comes to employing new technologies. This innovative spirit is one of the differentiators we have when positioning for future opportunities. And this takes me to the tender pipeline which remains stable at more than NOK 80 billion. The pipeline is dominated by opportunities in Europe, representing more than 90% of the tender volume. We're also seeing increased local activity in the APAC region through our engineering hubs in India and Malaysia. And we continue to see good mix between traditional oil and gas, transitional solutions and renewables opportunities. Within Oil and Gas, we are in the process of renegotiating several important long-term frame agreements, and we are also working with our clients to mature future greenfield opportunities within renewables and transitional solutions, ambitions remain high. As mentioned, we see a lot of interest in our CCS capabilities, both in Norway but also abroad. And beyond cost, another key enabler is a functioning market for carbon trading. An interesting observation in that context is that our clients, Celsio, recently announced the sale of 1.1 million tons of permanent carbon removals to Microsoft over a 10-year period. Such agreements are critical for the commercial success of CCS, enabling new projects both in Norway and abroad. So to summarize, I'm pleased to see that we continue delivering solid financial results, while positioning the company for the future. We have a substantial order backlog for execution in 2025 and onwards. And together with our partners, we focus on delivering predictable project execution. We are active in tendering across segments, which allows us to choose carefully the opportunities we pursue. And finally, our financial situation is robust. This gives us a strong foundation to develop the company and generate solid returns for our shareholders. And now I will pass the word to Idar, who will go over the numbers in more detail. Thank you.
Idar Eikrem: Thank you, Kjetel. I will now take you through the key financial highlights for the second quarter, our segment performance and run through our financial guidance. As always, all numbers mentioned are in Norwegian kroner. So let me start with the income statement. The second quarter revenue was NOK 15.2 billion, up 18% from the same period last year. The underlying EBITDA was NOK 1.3 billion with a margin of 8.3%. If we exclude the income from OneSubsea, our underlying margin was 7.2%. The underlying EBIT was NOK 901 million with a margin of 5.9% and the underlying net income was NOK 693 million. Lastly, earnings per share was NOK 1.46. Next let us have a look at the cash flow. Our financial position remains robust with a net cash position of NOK 2.1 billion. Operational cash flow in the period was around NOK 400 million. This was mainly driven by our EBITDA contribution from our operating segments and reversal of working capital of about NOK 520 million. CapEx in the period was NOK 135 million or slightly less than 1% of revenues. The quarterly dividends received from our 20% stake in OneSubsea was NOK 145 million, in line with previous guidance from the company. And lastly, we paid out dividends of about NOK 1.6 billion or NOK 3.3 per share to our shareholders. This is in line with our ordinary dividend policy. Now let's take a closer look at our segments. For Renewables and field development, the second quarter revenue was NOK 10.8 billion. The underlying EBITDA was NOK 829 million with a margin of 7.7%. As Kjetel mentioned, the legacy lump-sum project continued to be a drag on the margins. If you look at the order intake in the quarter, it came in at NOK 7.9 billion or 0.7x book-to-bill. This mainly relates to the contract for steel substructure for the second phase of the BalWin HVDC project as well as growth in our existing portfolio. The secured backlog was NOK 46.4 billion at the end of the quarter. Based on the backlog and market activity, we expect revenue in this segment to grow by 5% to 10% in 2025. For the Lifecycle segment, the second quarter revenue was NOK 3.9 billion. This is a 30% growth from the same period last year. The underlying EBITDA in the quarter was NOK 275 million with a margin of 7%. Order intake was NOK 2.9 billion or 0.7x book-to-bill. The backlog was NOK 20.3 billion, dominated by long-term frame agreements and reimbursable modification project with long-term customers. Based on the secured backlog and market activity, we expect revenue in life cycle to grow by about 10% in 2025. Now to sum up. In the second quarter, we continued to deliver solid financial and operational performance. And as we have said before, the legacy lump sum projects have been both operationally and commercially challenging. These projects are all progressing for sale away in the second half of 2025. And we have ongoing discussions, both with clients and subcontractors to solve these commercial challenges. Based on our secured backlog and market activity, 2025 revenues is expected to exceed NOK 55 billion. The EBITDA margin is expected to be between 7% and 7.5% in 2025, excluding net income from OneSubsea. OneSubsea has ambition to distribute more than $250 million to its shareholders in 2025. At current exchange rates, this implies a dividend to Aker Solution of more than NOK 0.5 billion. CapEx for 2025 is estimated to be between 1% and 1.5% of revenue. Lastly, working capital is expected to normalize to between negative NOK 4 million and negative NOK 6 billion over time. Thank you for listening. That was the end of our presentation in a few moments we will open up for questions.
Preben Ørbeck: So it seems that we -- that there are no -- there just came in a question from Victoria McCulloch in RBC. A few questions. Can you give us an idea what some of the key milestones are for Aker BP this year? And how are they expected to impact the margins?
Kjetel Rokseth Digre: We have a lot of projects with Aker BP, both out offshore on the existing installations, subsea scope, which we are doing together with OneSubsea, but then also milestones linked to progressing the 4 platforms. And then part of that has been to make sure that the substructure produced in Wagon is progressing well and the 2 biggest ones are now installed offshore. And then the rest of the milestones are linked to sort of gathering components and structures at our yard in A and Wag to complete the topsides. And the commercial setup there is obviously to sort of progress and have revenue around it, but then also some of the milestones are incentivized. And so far, we are meeting the milestones.
Idar Eikrem: Yes. And last part of your question, how does it impact the margins is also just to repeat, this is in the alliance contract with Aker BP, and we are well underway on that one. However, there are quite some incentives that normally, you will see incentives of sort of successful delivery at the end. So we expect more the incentive part to be concluded in '26 rather than in '25.
Preben Ørbeck: Thank you, Idar and Kjetel. Following up on a few questions on the tender pipeline. What is the magnitude of CCS tenders? And we can also follow up on what is the magnitude of traditional offshore oil and gas installations.
Kjetel Rokseth Digre: Without sort of mentioning percentages, just comment on the CCS, I think one important fact is that we are now into what you can call version 2, Generation 2 of our project execution within the CCS space with Klemetsu for Celsio in Oslo after Brevik and then also Northern Lights Phase 2 together with Equinor and Partners. So that is really perhaps the main takeaway that we are developing and delivering there. And then the CCS market is super interesting and growing. And with this credibility, we are relevant for not only studies, but also having studies being sort of pulled through into FEEDs and potential execution. So it's picking up and increasing, and we have a good starting point with the projects that we have executed. On the oil and gas side, again, not mentioning percentages, but we have a lot of projects linked to decarbonization, particularly on the Norwegian continental shelf with electrification. We have a lot of the larger frame agreements with our key clients that are up for renewal, which we are working with. And then some of the oil and gas projects are quite sizable. So with or without them, they will obviously sort of dominate the percentage, but we do have then greenfield opportunities as well that we are going for.
Preben Ørbeck: Maybe moving on to a question from Noelle in ABG. The NOK 94 million loss provisions on -- that was reported in the first half, is everything related to the legacy projects? And what is the relative split between the first quarter and the second quarter?
Idar Eikrem: Yes. As we have presented in our report, the legacy lump sum projects are all coming to a sell away now in the second half of this year. And the changes that you see here is changes in estimates that we have done now at closing of the second quarter, so first half.
Preben Ørbeck: Maybe then a follow-up on lump sum. So indicate the share of life cycle contracts in the tender pipeline, if you can go to that one, Idar. So life cycle, what is the share of life cycle contracts, the frame agreements in the tender pipeline?
Idar Eikrem: Yes, that is quite a significant share of what is under the tender pipeline, and we expect this to be concluded towards the end of the year.
Preben Ørbeck: A follow-up questions on how do you think of the backlog margins for renewable projects versus oil and gas awards?
Kjetel Rokseth Digre: Well, margins in that space has been for the legacy projects, one thing with a lump sum approach. I think what we see now with our clients that we are working with in the renewables vertical is a different kind of dialogue, focus on maturing projects together, understanding the risk and then when you are entering -- approaching actual execution and then make sure that we are sharing the risk and have the right kind of terms and conditions around that. So the right sort of player in the setup handle the risks that they can deliver on. So I think that's a lot more mature and open dialogue around that, and it's really healthy in all the settings we are. And as we always say, we have a lot of opportunities that we are discussing. And because of that, we can be selective in which client we go with and which projects we then commit to.
Idar Eikrem: Just to follow up on that one. I think it's important to understand that our sort of legacy lump sum project was awarded and taken on board in the middle of the COVID period and then topped up with the Ukraine war that has created quite some significant challenges. Also the pricing format on what we have taken on board after that is completely different. And our requirement for margins for both oil and gas and renewables and other low-carbon solutions, they are competing of the same sort of resources that we have and the margin requirement on both oil and gas and renewables is basically the same. We are not taking on renewables project just because it's renewable, they need to compete and have the same healthy margins as oil and gas projects.
Preben Ørbeck: Thank you, Idar. Maybe moving on to another question from [indiscernible] Did the milestones -- meeting the milestones from Hugin AM Kasber affect the Q2 numbers in a meaningful way?
Kjetel Rokseth Digre: I mentioned earlier on that we do have incentive mechanisms also linked to completing this and delivering on milestones. And I would say that we didn't have any big surprises here. We delivered and got the right kind of compensation for that.
Preben Ørbeck: Another question from Mick Pickup on the volatility in oil prices. Have you seen any changes in your clients' attitudes?
Kjetel Rokseth Digre: No, I think if you take it holistically, I think what we see with the fluctuation and also the opportunities we have together, particularly on the NCS, we have a Norwegian industry with clients with the likes of us and also our partners and subcontractors that are focused now on improving this further, and we are really collaborating on how that improvement approach and agenda shall be done together to lift the different opportunities on the NCS. So -- and I think that is over and above the fluctuation in oil prices. So no big changes, but improvement pressure and ambition together.
Preben Ørbeck: I think that was a good conclusion and that was the end of the questions that have been posted. From all of us here, I would like to wish you -- thank you for listening and wishing you all a good summer. Thank you, and goodbye.